Operator: Good afternoon. Thank you for attending today's Teladoc Health Second Quarter 2025 Earnings Call. My name is Victoria, and I'll be your moderator today. [Operator Instructions] I would now like to pass the conference over to Mike Minchak, Head of Investor Relations for Teladoc Health. Thank you. You may proceed.
Michael Minchak: Thank you, and good afternoon. Today, after the market closed, we issued a press release announcing our second quarter 2025 financial results. This press release and the accompanying slide presentation are available in the Investor Relations section of the teladochealth.com website. On this call to discuss our results are Chuck Divita, Chief Executive Officer; and Mala Murthy, Chief Financial Officer. During this call, we will also discuss our outlook, and our prepared remarks will be followed by a question-and-answer session. Please note that we will be discussing certain non-GAAP financial measures that we believe are important in evaluating our performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release that is posted on our website. Also, please note that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from those expressed or implied on this call. For additional information, please refer to our cautionary statement in our press release and our filings with the SEC, all of which are available on our website. I would now like to turn the call over to Chuck.
Charles Divita: Thanks, Mike. I'm pleased with our strong performance in the second quarter with consolidated revenue and adjusted EBITDA both at the higher end of our guidance ranges. This reflects continued disciplined execution and builds on our solid results from the first quarter. Based on our results and outlook for the second half of the year, we're narrowing our guidance range in 2025 consolidated revenue and adjusted EBITDA. Mala will provide more details on our performance and outlook later in the call. It's now been a year since I joined Teladoc Health, and I would like to take the opportunity to comment on the progress we've made and the direction of the company. It's been a transformative year in many respects as we work with urgency and purpose to improve performance and reposition the business. As I shared when I first joined, I saw the need to strengthen our market focus and increase the efficiency of our business. And we've taken decisive actions that have resulted in a more streamlined organization with greater agility and market orientation and a more efficient and scalable cost structure. I also shared the importance of accelerating innovation across our products and capabilities. We've made considerable progress in that regard, including a product innovation pipeline that's gaining momentum. Let me share some examples. We recently launched Wellbound, a new employee assistance program offering for the U.S. Integrated Care market. It provides mental health and well-being support, including access to online therapy services from BetterHelp and seamless access to other available Teladoc services. While early, we're pleased with the level of interest we're seeing, and we look forward to building a position in the EAP market. We're enhancing our cardiometabolic health program this year, including new connected devices as well as registered dietitian access, sleep support and other new features. And to further engage and support enrollees with rising risk and higher acuity conditions, we are developing additional clinical interventions, leveraging our primary care specialists and care support teams. We believe that a comprehensive approach focused on both prevention and the progression of diabetes, hypertension and obesity will have the greatest sustained impact on patient health and value for our clients. For our hospital and health system clients, we launched a new AI-enabled virtual sitter solution fully integrated into our proprietary technology. This new offering extends and supports our clients' workforce capacity and their care delivery and patient safety objectives, including matters such as fall risk and patient elopement. In our International Integrated Care business, we also continue to add new solutions, including hybrid care models for public health systems to support a variety of needs, including access to primary care and emergency department care in rural and remote communities. Product innovation will be an ongoing focus of our organization. Over the past year, we've also added important capabilities, including through strategic acquisitions. Catapult Health strengthens our approach to preventative care through its virtual checkup and other solutions, as well as being an important and complementary engagement capability with other Teladoc services. And we recently acquired UpLift to support BetterHelp's entry into insurance, an important initiative I also shared when I joined the company. I'll provide an update on our progress in this area in a moment. Additionally, we've strengthened operational execution, added new partnerships and collaborations, and made advancements in our technological infrastructure, all aimed at supporting our strategic priorities and our ability to deliver more services and value to customers. We've also hit some noteworthy milestones, including exceeding 100 million U.S. integrated care members providing additional opportunities to grow our services over time. While there is important work ahead, I'm pleased with the progress overall, and I'm confident we're in a stronger position to execute in an evolving market. As we've all seen, the health care challenges are substantial. Affordability and rising costs, the impact of disease and chronic conditions, unmet mental health needs, provider pressures and other issues continue to impact all stakeholders. And it's clear to us that virtual care can and must play a greater role going forward given the extent and magnitude of these challenges. Prior to 2020, virtual care was largely about convenience and access to quality cost-effective care. Teladoc led the way through technology, services and scale and also delivered during the pandemic. Now virtual care has become widely adopted and there's also been a proliferation of point solutions adding to fragmentation and complexity. Teladoc again led the way by taking an integrated approach across physical health, mental health and chronic conditions, placing the whole patient at the center. Looking ahead, we intend to build on our leadership position, our assets, clinical capabilities and range of services with an intensified focus on orchestration across patients, providers, platforms and partners all aimed at enhancing the patient experience, improving outcomes and delivering greater value. We're uniquely positioned to advance this important work, and we're prioritizing investments that are aligned with this vision. And we plan to deliver on it through our four strategic priorities. First, we're enhancing our integrated care offerings, particularly in the U.S. to drive a greater impact on both clinical outcomes and the cost equation. We'll support our growth objectives through continued product innovation, and we intend to launch new and enhanced offerings across our portfolio on a sustained basis. By leveraging our millions of engagement points in new and unique ways, advancing clinical intervention opportunities and orchestrating care more holistically, we intend to deliver greater value for clients and the people we serve. Second, we're further leveraging our scaled mental health position. In addition to new products such as Wellbound, we have several initiatives underway to expand mental health access and our ability to serve more needs. This includes momentum in Integrated Care, where we saw a 13% year-over-year increase in mental health visits in the U.S. during the second quarter. And in BetterHelp, where we'll be building on our unparalleled consumer position by adding insurance capabilities to grow and expand our market opportunity. On that front, I would like to take a moment to provide an update on BetterHelp's insurance coverage initiative. As we've shared, we believe insurance will leverage BetterHelp's strong consumer activation, experience and scale while having a positive impact on conversion rates, the number of user sessions and return on advertising spend over time. With ongoing headwinds in the consumer cash pay business, we see insurance coverage as essential to the stability and growth outlook for BetterHelp. And we believe we can meaningfully scale insurance over time. We are being methodical in our approach to ensure the long-term success of this business. This includes ensuring a robust and scalable operating infrastructure, growing our network of credentialed mental health professionals, and supporting and expanding our payer relationships and corresponding membership coverage. From an operating infrastructure standpoint, the BetterHelp and UpLift teams are partnering in a seamless way. Execution is progressing well, including unifying the platforms and experience and ability to leverage and scale the combined capabilities. In late June, we began a soft launch of BetterHelp insurance in a single state, laying the groundwork for a methodical ramp of the business over the next several quarters. We're encouraged by the early results, including the performance of our technology, the strength, reliability and durability of the insurance processes and growth of the insurance provider network. We see significant opportunities to access and leverage BetterHelp's expansive network of 35,000 therapists to support growth in the insurance network. As a reminder, BetterHelp's therapists are all fully licensed and with a master's degree or higher. The network averages 8 years of experience and consistently delivers results, including over 70% of patients reporting symptom reduction within 12 weeks, as well as high satisfaction rates, including over 80% of patients that would recommend their therapist to others. In this regard, we've begun initial outreach to many of our BetterHelp therapists to join the insurance network, and we're seeing good interest. To date, over 2,000 have engaged and are now in various stages of the credentialing process. This outreach will continue as we look to complement and further build on UpLift's already robust base of over 1,500 mental health professionals. We're also seeing success in further expanding payer relationships. UpLift brought arrangements covering over 100 million lives. And over the past few months, we have signed additional new contracts adding over 15 million lives. We'll provide further updates on progress during the third quarter call. Our third strategic priority is international growth. Our international business now accounts for over 15% of our consolidated revenue, and we see continued growth potential. We already operate a robust international business in Integrated Care that has delivered steady double-digit growth and is well positioned to meet diverse needs across countries, markets and client segments, including leveraging our hospital and health system technologies to support public health systems in several countries. We continue to evaluate opportunities to increase our position across both existing and new geographies. Fourth, we're highly focused on operational excellence to consistently deliver for clients and to achieve our business and financial objectives. We've made considerable progress in driving operational excellence, including a highly successful client implementation season for 2025, coming off of a very challenging one in 2024. This was also a key priority when I joined. With respect to cost efficiency, as noted last quarter, we're tracking modestly ahead of our cost savings and productivity targets. We've made meaningful progress across several areas, including technology and development, administrative costs and stock-based compensation. And we'll continue to make progress while balancing the need to invest in our strategic priorities. In closing, I'm encouraged by our first half performance. We're making progress against each of our key strategic priorities, and our teams continue to operate with focus, urgency and discipline. We're committed to maintaining a balanced approach by delivering solid financial performance and investing in the products and capabilities important to our future. While broader market dynamics continue to impact health care and the operating environment, I remain confident in our strategy and our ability to return the company to an overall growth trajectory over time, including through the initiatives I have outlined. With that, I'll turn it over to Mala.
Mala Murthy: Thank you, Chuck, and good afternoon, everyone. Second quarter consolidated revenue was $631.9 million, near the high end of the guidance range and down 1.6% year-over-year, driven by a decline at BetterHelp, offset to some extent by growth in Integrated Care revenues. Adjusted EBITDA of $69.3 million was also at the upper end of the guidance range, and represented a margin of 11%. Net loss per share was $0.19, compared to a net loss per share of $4.92 in the second quarter of 2024, which included a $4.64 related to a pretax noncash goodwill impairment charge. Net loss per share in the second quarter of 2025 included amortization of intangibles of $0.50 per share pretax and stock-based compensation expense of $0.13 per share pretax. These items were partially offset by a discrete tax benefit of $0.06 per share. Free cash flow was $61 million in the second quarter, slightly ahead of the prior year period. On a year-to-date basis, free cash flow increased by $11 million compared to the same period last year. We ended the quarter with $680 million in cash and cash equivalents, after retiring $551 million in convertible senior notes that matured during the quarter. Turning to our segment results. Integrated Care segment revenue of $391.5 million increased 3.7% over the prior year period and exceeded the high end of our guidance range. We saw good growth in visit revenue and continued strong performance in our international business, which then delivered mid-teens growth on a constant currency basis. Catapult contributed approximately 240 basis points to segment growth. Foreign exchange also contributed roughly 50 basis points to growth in the quarter. Underlying fundamentals continue to trend favorably. U.S. Integrated Care segment membership at quarter end was 102.4 million members towards the high end of our guidance range and up 11% year-over-year, while U.S. Integrated Care virtual visit volume increased by 6% versus the prior year period. Chronic care program enrollment at quarter end was $1.12 million, down versus the first quarter due to the previously discussed contract loss. Excluding the impact of this loss, underlying program enrollment would have increased by a low single-digit percentage on a sequential basis. Second quarter Integrated Care adjusted EBITDA was $57.5 million, which represented a margin of 14.7% and was at the high end of our guidance range. This benefited from revenue flow-through, which was partially offset by higher OpEx in the quarter, including marketing spend and legal fees. While this compares to an adjusted EBITDA margin of 17% in the prior year period, recall that we had cited a roughly 340 basis point tailwind to adjusted EBITDA margin in the second quarter of 2024 from performance-based revenue, variable compensation costs and the timing of certain marketing and other operating expenses. Moving to the BetterHelp segment. Second quarter revenue was $240.4 million, up slightly sequentially and just above the midpoint of our guidance range. Foreign exchange contributed approximately 45 basis points to year-over-year growth, while UpLift contributed roughly 100 basis points. Second quarter average paying users declined by roughly 9,000 sequentially to 388,000, and were 5% lower versus the second quarter of 2024. Despite encouraging early progress on our insurance and international initiatives, we continue to see headwinds in the underlying U.S. cash pay business. While the year-over-year decline has moderated relative to 2024 levels, U.S. cash pay users saw a high single-digit percentage decline versus the second quarter of 2024. Last quarter, we pointed to a slight uptick in churn rates, which we believe was reflective of softening consumer sentiment and uncertainty around the macro environment. That trend continued through the second quarter, while we also saw an increase in customer acquisition costs and fewer growth user adds. We believe these factors and consumer interest in accessing therapy through insurance coverage is impacting the cash pay business. We believe that validates our insurance acceptance initiative with UpLift meaningfully accelerating our efforts. We continue to believe the unification of customer acquisition funnel between cash pay and insurance coverage will allow us to more effectively leverage BetterHelp advertising and marketing budget, and leads to a lower acquisition cost per user over time. While not enough to offset the headwinds in the U.S. cash pay business, international users were up by a high single-digit percentage over the second quarter of 2024. With more attractive customer acquisition costs, we plan to continue reallocating advertising spend to those markets. While still early, our localized launches continue to see good month-over-month growth in users, and we are evaluating opportunities for additional localized market launches over the balance of 2025. Insurance revenue totaled $2.4 million for the quarter, which was in line with expectations and attributable to UpLift, as we continue to build out the operating infrastructure to support the future scaling of our BetterHelp insurance business. BetterHelp adjusted EBITDA was $11.9 million in the second quarter. Adjusted EBITDA margin of 4.9% was in the upper half of our guidance range of 2.5% to 5.25%. The margin declines on a year-over-year basis was mainly due to lower revenue and incremental investments to advance the insurance initiative. Turning to guidance. We now expect 2025 consolidated revenue of $2.501 billion to $2.548 billion, with the midpoint increasing slightly versus our prior range, with an increase in Integrated Care outpacing a lower BetterHelp outlook. Adjusted EBITDA is expected to be in the range of $263 million to $294 million. The midpoint of this range is slightly below the previous outlook, impacted by similar segment dynamics and now incorporating the anticipated impact of tariffs, which I will speak about momentarily. Full year free cash flow guidance of $170 million to $200 million remains unchanged. We now expect 2025 stock-based compensation expense in the range of $95 million to $105 million, approximately $10 million below our prior outlook and a continued area of focus for us. For the third quarter, we expect consolidated revenue in the range of $614 million to $636 million, and adjusted EBITDA in the range of $56 million to $70 million. Drilling down into the segments, starting with Integrated Care. We are raising and narrowing our full year 2025 revenue guidance, which we now expect to be up 1.75% to 3.25% year-over-year versus our prior guidance of flat to up 3%. The increase of 100 basis points at the midpoint reflects our strong first half performance relative to guidance, coupled with updated assumptions on foreign exchange. We continue to expect Catapult to contribute approximately 200 basis points to full year revenue growth. We are narrowing our full year 2025 adjusted EBITDA margin guidance to 14.5% to 15.25% versus our prior range of 14.3% to 15.3%, which is up slightly at the midpoint. As previously discussed, this includes a roughly 40 basis point headwind from the Catapult acquisition. Excluding Catapult dilution, adjusted EBITDA margin would be up slightly year-over-year at the midpoint of the guidance range. Our guidance of 101 million to 103 million U.S. Integrated Care member remains unchanged. Last quarter, we provided a preliminary view on the potential impact of tariffs. The initial estimate we provided, which was not included in our prior guidance, given the fluidity of the situation, was based on proposed rates at the time, including a 145% China tariff and the impact of our litigation efforts. Based on the latest information, we now estimate an unfavorable adjusted EBITDA impact in 2025 of approximately $3 million, which is now included in our guidance ranges. This reflects a partial year of impact based on the timing of new rates and inventory on hand. We continue to evaluate additional levers to mitigate the impact of tariffs now and into the future. This includes assessing alternative sourcing arrangements to diversify our supply chain, which we think is a prudent long-term action. For the third quarter, we expect Integrated Care segment revenue growth to be down 0.5% to up 2.25% and adjusted EBITDA margin in the range of 14% and 15.5%. Recall that the third quarter of 2024 had included a favorable resolution of a prior period billing adjustment, which will drive a roughly 115 basis point headwind to revenue growth and roughly 95 basis point headwind to adjusted EBITDA margin in the third quarter of 2025. Importantly, we assume a return to sequential growth in chronic care program enrollment in the third quarter, driven in part by continued growth in our weight management program which was augmented by the addition of one of our largest customers at the start from 2025. Regarding the second half cadence, our updated guidance implies a sequential step up in revenue in the fourth quarter, driven largely by cyclical seasonality related to infectious disease visits as well as contribution from new business implementation. It also implies a sequential increase in adjusted EBITDA dollars driven by the revenue increase coupled with disciplined cost control. Moving to BetterHelp. We are narrowing our revenue guidance range with the revised midpoint reflecting ongoing headwinds in our U.S. cash pay business. Although still in the early stages, we are encouraged by the progress of our insurance initiative, which we view as a critical driver for restoring long-term growth in the BetterHelp business. We now expect a year-over-year revenue decline of 6.8% to 9.2% in 2025 compared to our prior outlook of a 3.75% to 9.75% decrease. Our guidance continues to reflect approximately $10 million in insurance revenue for 2025, net of any mix shift from the existing cash pay business. We expect a more meaningful revenue contribution in 2026 as we continue to methodically scale operations and expand our payer therapist network over the next 6 to 12 months, while steadily enabling access across additional space. We now expect the BetterHelp adjusted EBITDA margin of 4% to 5.5% for the full year, with the midpoint down 75 basis points versus our prior guidance. This revision primarily reflects the flow-through impact of a lower revenue outlook, partially offset by incremental G&A reductions as we continue to prioritize investments that support the growth of our insurance initiatives. We remain focused on balancing top line growth with bottom line discipline. While we will not pursue inefficient customer acquisition, we are committed to maintaining strong profit to BetterHelp in preparation for the broader insurance rollout. For the third quarter, we are guiding to BetterHelp segment revenue down 5% to 9.75% year-over-year and an adjusted EBITDA margin of 1% to 3.75%, reflecting the early investment phase of scaling our insurance initiatives. Lastly, our balance sheet remains strong. We retired $551 million in convertible senior notes that came due in the second quarter with cash on hand. The $1 billion convertible note maturing in June 2027 is our only remaining debt outstanding. We remain comfortable with our leverage as net debt to trailing adjusted EBITDA stood at 1.1x at quarter end. We continue to believe our strong cash balance, capital generation and business position provides us with optionality in the future. Separately, in mid-July, we entered into a new $300 million revolving credit facility, which enhances our financial and operational flexibility. At the current time, there is nothing drawn on the facility and we have no immediate plans to use it. Our capital allocation priorities remain unchanged. First, we look to maintain a strong balance sheet and an appropriate net leverage profile. Second, we will invest in the business to support our strategy to both organic and inorganic initiatives. And third, we will evaluate share repurchases as a potential use of cash. With that, let me turn the call back to Chuck.
Charles Divita: Thanks, Mala. We continue to believe that virtual care can be a performance multiplier within the health care ecosystem, helping to address key challenges and that Teladoc Health is well positioned to play a key role in doing so. Just last week, we hosted our Annual Teladoc Health Forum event in Nashville, which brought together health care thought leaders, virtual care advocates and innovators from across the globe to share their experiences, exchange perspectives, discuss strategies and offer insights into the further advancement of virtual care. And spending time with many of our clients and partners in attendance, I was encouraged with the level of interest in deepening our partnerships and further collaborating to help them achieve their goals now and into the future. With that, we'll open it up for your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of David Roman with Goldman Sachs.
David Harrison Roman: A lot of moving parts here, so I'll try to make sure I limit it here to one question. I guess you've talked about over the past year, Chuck, the transition away from a subscription model to a pay per visit or pay-per-use model that does, to some extent, obfuscate the underlying performance of the business. And I know you went through a few metrics on the call, but maybe you could unpack a little bit what's going on there and where we are in that transition. Either if you can give us a sense of is that a 2025 event, does that extend into 2026, and how you're thinking about measuring success in that initiative?
Charles Divita: Yes, I appreciate the question. This transition has been going on for a few years now in earnest because post-pandemic, obviously, with the broad adoption and maturity of the market, and that's continued. In 2025, we now are at a point where more than 50%, the majority of our revenues in virtual care are coming from visit-based arrangements versus subscription-based. So there's more room to go there probably, but we've sort of reached a place where it's the majority. And it varies a little bit by product line. In mental health, we're now at about 70% that are visit-based. So you'll start to see, over time, more of that underlying growth in visits, which is a good thing and translate into revenue growth, but we still got a little bit of headwind from that subscription move.
Operator: Our next question comes from the line of Richard Close with Canaccord Genuity.
Richard Collamer Close: Congratulations on the progress. Maybe on BetterHelp and insurance. First, can you discuss how you see the margin difference between cash pay and insurance, I guess, longer term? And then second, you launched -- I think you said launching insurance in one state, a soft launch. How are you thinking about the rollout going forward? Is that just a state-by-state basis?
Mala Murthy: So thank you, Richard, for the question. Look, on the margins for insurance, if you think about the legacy cash pay business in BetterHelp, we have always said that the gross margins for that business are in the range of overall Teladoc Health margins, right? It's always been around the high 60s, early 70s type of gross margin. Relative to that, as we have thought about insurance, we recognize that it is going to be lower than that -- those levels. It's a little bit early for us to comment on exactly where it is going to reach equilibrium in the longer term. But there are enough public proxies out there that will tell you that it is a lot lower than those levels. Having said that, what we are focused on is the fact that we have 4 million-plus consumers coming at the top of the funnel, if you will. So the advertising spend that we have, the scale of it attracts that scale of consumers seeking therapy. And we believe that offering the choice of insurance acceptance side-by-side with cash pay, which is what is live on our platform now in one state, as we talked about, is going to allow for greater conversion than we have with just cash pay. So that is the investment thesis we have that we will continue to make progress on as we scale this initiative. Chuck?
Charles Divita: Yes, and I'll talk a bit about the rollout. So I guess, think of it this way, supply and demand. We know the demand is out there. One, the unmet mental health need, the adoption of the virtual modality in terms of therapy and just the size and scale of BetterHelp. So what we want to do is make sure we are preserving that user experience, which BetterHelp is known for as we turn this on. Obviously, the scale is pretty massive. So the demand side will be there as we turn that on. The supply side, we also want to make sure that we have the right level of therapists credential in the network to meet the demand in the way that we want. Behind the scenes, we are continuing to build that network out beyond the single state so that as we ramp further, we'll be able to turn on multiple markets over time. So I wouldn't necessarily think about it state by state per se because we're going to reach a point where we want to be able to activate multiple markets. But we do want to take it methodically here at the start to make sure all the capabilities that we built in place are working. The good news is they worked quite well, and we're in a position now where we're behind the scenes building the supply side.
Operator: Our next question comes from the line of Lisa Gill with JPMorgan.
Lisa Christine Gill: Chuck, I wanted to go back to where you ended the call today. You talked about virtual health care can be a performance multiplier to help address key challenges in the evolving health care landscape. Clearly, following managed care, we see that right now from a cost perspective as a former managed care executive. What do you think are some of the biggest opportunities for Teladoc to help to really drive the cost or bend the cost curve going forward? And maybe if you could just spend a minute sharing some of the takeaways from last week. And is it talking more to providers? Is it talking to employers? Is it talking to the managed care organizations? What do you see are some of the biggest opportunities?
Charles Divita: Yes. Thanks for the question. I think, first of all, if you go back to where sort of virtual care took off, like I said in my prepared remarks around access and convenience. And that's still an issue. Access to care, whether it's primary care, specialist care, it varies pretty significantly. So I think access will continue to be a place where virtual care can support the ecosystem. I think where the next sort of generation of that is, and the reality of this, each individual, all of us are unique. We have our own health care situation and needs and expectations and health care is also local. And so I think over time, the reason why we've been investing in the technology we are and the approach we have is because we think we have an ability to partner with the local delivery systems more and more over time to advance our customers' strategies. So we have a number of things underway to do that. And I think then extending that longitudinal care capability to help complement the system, sometimes will be on point for those services and other times will be playing a complementary role. And I do think that's where it's going to evolve over time. I think with respect to the forum, it was a great event. I mean there was a lot of excitement. We shared a lot about the progress we're making. I would say uniformly, a lot of the things that you study in health care are alive and well. They're very concerned about the affordability issues, cost increases, provider capacity shortages and sort of the dynamics that are at play. Certainly, in the health plan world, a lot of uncertainty with respect to some of the changes that are underway. And I think there was a, I would say, a good level of interest in the strategic direction we're taking and how we're approaching this issue. So I think the level of partnership is going to be even deeper going forward, and I think we're going to build on it in the coming months.
Operator: Our next question comes from the line of Jessica Tassan with Piper Sandler.
Jessica Elizabeth Tassan: I was hoping maybe you could talk about 2026 for your chronic care solutions in particular. Where are we in the selling season for the chronic care condition -- chronic care solutions, excuse me? And then just could you describe any kind of competitive efforts that you've noticed so far, retreats maybe that are expected to impact the retention, competitive takeaways and pricing next year?
Charles Divita: Yes. I'll just make some general comments here. I think, first of all, a lot of the things that we've said in prior quarters are -- continue to be the case. We've got -- employer channel continues to, I would say, largely be in line with our expectations at this point in the year. We do have continued pressure on the health plan channel for all the reasons that we've given. And I think we've had a good level of interest across all of our solutions, chronic care included. We've added some accounts, including in health plans with respect to Medicare Advantage. Mala mentioned that the [indiscernible] we added last year coming into this year in weight management. So there's good activity, there's good interest. I will say there's some pause and some hesitation in terms of big moves by some of the players as they sort through their strategies. Where we're focused really back to the product innovation point is how do we expand the level of services. And I think with this new cardiometabolic health program that we're rolling out to meet a variety of needs. If you think about a patient, we sort of carve people up into these conditions, well, it's a whole person. And so they're going to move through the journey of maybe it's a weight issue, some other kinds of acuity that happens during the cycle of that person's life. And so this program really is trying to be there in a more holistic way for those people. And I think the features and enhancements that we put in place will be attractive to our customers. I think where we're headed, though, is really leveraging what is, I think, one of our greatest strengths, which is our clinical capabilities. As a provider, we have primary care, we have specialist care, we have care teams. And I think when you're dealing with people with hypertension and diabetes and obesity and those kinds of things, the ability to support them clinically and if they're not on the right path, I think, is where we can add value to the patient as well as to our client.
Mala Murthy: Jessica, what I would also add is it's not a surprise. The chronic care market is a highly competitive market. It is a fast-moving, fast- changing market. We know that. We are absolutely already with a cardiometabolic product that we have that Chuck mentioned, adding to the clinical capabilities that Chuck mentioned, that certainly gives us confidence in growing momentum in the chronic care business over time. The other thing I would also say is, if you think about our 102-plus million member base and what that represents in terms of cross- selling opportunity. If you think about the scale of recruitables with chronic disease and need for chronic care management that we already have, that, I would say, is sort of the -- in some ways, the demand side that we already have for us to be able to continue to grow and penetrate. We've talked about the fact that our penetration levels are still relatively low in the membership base we have. So if you combine the innovation that we are bringing in from the product side, together with the scale of opportunity in terms of the recruitables and the member base we have, those are the assets that we are going to use combined with our engagement and enrollment capability, and we are investing in that as well.
Operator: Our next question comes from the line of Daniel Grosslight with Citi.
Daniel R. Grosslight: Mala, you mentioned that you expect a meaningful revenue contribution from BetterHelp insurance coverage in 2026. I was hoping you could provide a bit more color on that and the cadence we should expect throughout next year. And similarly, if there's any significant investments you need to make to kind of scale that in '26 and the cadence of those investments?
Mala Murthy: Yes. So what I would say, Daniel, let me sort of start with your second question first because we need to invest to be able to scale the insurance revenues. So we already are making investments, right? Remember, when we announced the UpLift acquisition back in April, we actually had taken down our adjusted EBITDA. And the reason we did that was because of the investments we needed to make. Those investments are essentially in -- think of it in two ways. One is just scaling up the number of people we need, the talent we need to be able to run this business within the BetterHelp segment. It's not an initiative any longer, it's a business. And the second is absolutely scaling up the operational capabilities, the back-end capabilities, billing, coding, all of that. So those are the kinds of investments we are making. We have already started on making those investments, and we are going to make investments in the back half of this year between Q3 and Q4. And I expect we will continue to do more of it at probably a more modest level into the first half of next year. In terms of your second question on how this will pace. I would say, look, we have said from the outset back in April, we expect the revenue for insurance to scale and fully ramp up over the 6- to 12-month period, right? And we have told you this year, we expect insurance to be about $10 million in revenue. I think we need to see how this paces through this year, Daniel, and get more proof points. As we said, we have launched in one state. Early signs of progress are good. We are hitting and checking off on all the metrics that we expect to see at about this point. But we need to see more proof points. And what I would say is expect us to give a progress update in October and in February. Every time we talk to you on earnings calls, we will give you all progress updates on how things are going and how the scaling is going to case in through 2026.
Operator: Our next question comes from the line of Jailendra Singh with Truist.
Jailendra P. Singh: Chuck, I appreciate you spending some time on recapping the progress the company has made and all the initiatives you have put in place and actions you've taken over the past 1 year. But where we stand now, do you believe that you have all the pieces in place to get the company back on revenue and EBITDA growth and potentially accelerate in the coming years? And I completely understand all the integration and business transition is still ahead of us. But just curious about your view, if you still think there's some work needed for organic and inorganic product expansion or any restructuring?
Charles Divita: Yes, I appreciate the question. I'm not sure I would say we're ever going to be done in a highly competitive, dynamic complex market, particularly in the U.S. in terms of advancing the vision and the strategy. So I wouldn't want to set that expectation. I think we've made considerable progress from the technology we put in place. We now have the ability to surface information across each one of our care engagement, whether it's Catapult, our gen med visits, our coaches, our mental health providers. We can action and surface information there that for the next best action. So there's a lot of things that I think we put in place. Clinically, we come from a strong position with all the history the company has. However, there's additional capabilities we're going to put in place to be able to continue to develop new intervention models for these individuals with chronic conditions. So I think you're going to see us continue to invest organically as well as if we think there are places that could accelerate our progress, we're going to look for those opportunities just like we did with Catapult. That was a really nice strategic complementary acquisition. It's resonating with our clients. They understand why we did it, one, because of their own capabilities which is quite effective, but the opportunity to use that as another point of engagement for people that aren't engaged in their health care. And to get them aware of their health care conditions and get them plugged into whether it's a Teladoc services or get them a care plan. So I think there are going to be continued investments that we're going to make to be able to have a sustainable growth path in the U.S. and attack some of those bigger challenges that the health care system has, we're well positioned to do it, but we aren't finished yet. I think the other thing I would say, and I'll end it with this, with BetterHelp, as we've seen from the last many number of quarters, that's been a business that's been very challenging on the consumer front, notwithstanding all of its strengths. So making a move like UpLift and being able to demonstrate progress on insurance, we do believe that, that transition over time is going to position BetterHelp to return to a growth trajectory. So I think both Integrated Care and BetterHelp, we've made some really good progress, and I think we're going to build on it.
Operator: Our next question comes from the line of Elizabeth Anderson with Evercore.
Elizabeth Hammell Anderson: One of the highlights of the quarter, it looks like -- for me, at least is like the strong international growth as part of the broader strategy. Can you talk about, given that you have a variety of opportunities across your portfolio as you've highlighted the BetterHelp, et cetera, how do you think about that? Is there any sort of change in terms of the emphasis you're putting on that business given the lower acquisition costs that Mala, you mentioned? Or do you see that as sort of continuing along the path that you sort of previously described for us?
Mala Murthy: Yes. So when we think about our international business, we need to think about it both on the Integrated Care side as well as on the BetterHelp side. So on the Integrated Care side, Elizabeth, what I see this business performing at is very reliably in the mid-teens. Including this quarter, it was in the mid-teens on a constant currency basis, actually higher, high teens on a reported basis because of foreign exchange tailwinds. And this is a business that is looking at and working with clients around the world. Canada, U.K., Europe, Australia, those are the countries that we have a strong B2B international business presence in. We have clients who have been with us for a long time, for many years, and we have a robust relationship with them. And then the last thing I'd point out is what Chuck said in his prepared remarks, we are making real progress in working with the public health systems in Canada. We are expanding province by province, for example, in Canada. They were part of our client event last week. And we talked -- they talked about how pleased they are with the partnership with us in, let's say, Newfoundland as an example. New Labrador is another province where we have expanded. So that's sort of the work we are doing on the Integrated Care side. On the BetterHelp side, the way I would think about international is, so there are two subparts to it. The first is we have now been in what I would call English-speaking countries internationally for a few years in BetterHelp. Think about those as the U.K., Canada. What we are now doing starting really this year is expanding into other countries with a localized platform and product experience. This is still, I would say, relatively new, and we are seeing good signs of progress, one of which is we said in our prepared remarks, the growth in users in the quarter was high single digits. So I say this because this is -- we will continue to build on this localization initiative we have in international for BetterHelp. I expect us to roll out into additional countries. We are also learning candidly, from launching these localized experiences. It does require us to think about the experience with consumers, the therapists, et cetera. So we are taking learnings as we have launched in these countries and building it into the next wave, if you will, of countries that we are planning to launch in.
Charles Divita: Yes. One more point on the Integrated Care part of international, and I appreciate you raising that. It's, I think, an often underappreciated part of Teladoc. We have an amazing team. They are structured to really understand the unique local market needs and opportunities, and they are very creative at coming up with solutions that make sense for that market. An example is that I think is really a great proof point. They're using our hospital and health system technology, our devices. If you go to our website, you can see the pictures of those devices. They're using those in creative ways with those public health systems. And I was very gratified when they take those devices, and they are helping keep emergency departments open in rural communities. We're talking about life and death, plus keeping access available to populations in remote areas. So we're very proud of the work that's happening internationally, and there's a lot of learnings that we're looking to import to the U.S. and vice versa over time, and I think it's an important part of the company.
Operator: Our next question comes from the line of Sarah James with Cantor.
Sarah Elizabeth James: You said earlier that you expected BetterHelp to exit the year flat with the prior year. Can you talk a little bit more about what's changed relative to your prior expectations? And will BetterHelp return to growth mode in 2026?
Mala Murthy: Yes. I think it's a really good question, Sarah. And let me sort of give you a little bit of a longer answer on that to set the overall context. So as we have always said, when we talk about BetterHelp, especially, our guidance -- our revenue guidance range incorporates a range of expectations, right? It's based on many factors, our ability to drive user growth, looking at what the macro backdrop looks like, the consumer sentiment, we had talked in the April earnings call about softening, potentially softening consumer sentiment, customer acquisition cost, churn rates, et cetera. In the second quarter, we did see incremental pressure in our U.S. cash business from lower retention, so higher churn and fewer gross user adds, additions, okay? And that is what led to the lower user count that we reported, about 9,000 lower sequentially. And if you -- as we have analyzed what's contributed to that, we believe that this is actually being driven by more consumers using insurance for their mental health needs, for mental health therapy, and an increase in advertising by other virtual mental health companies that offer insurance coverage. So we now assume that these trends are going to remain consistent for the balance of the year. And that is what is incorporated in the guidance range that we have now provided. So as such, we've revised our outlook, which we've obviously now talked about. We have narrowed it and brought the sort of midpoint down, if you will. And it now assumes year-over-year revenue growth towards the lower end of our previous guidance -- revenue guidance. And if you think about what that also means, based on the third quarter guidance and the updated 2025 guidance, what it means is that the implied high end of the fourth quarter guidance range does not contemplate a return to flat year-over-year growth in the fourth quarter, okay? Just to be sort of spelling it out very clearly. Now adding to that is the fact that we have insurance where we are seeing encouraging early signs, but we have talked about the fact that it needs time to scale. We continue to expect $10 million of insurance revenue this year, as we have talked about, and we are pleased with the scaling of that overall initiative. So all of this put together, what I would say is, as I think about next year, we need to see how these different things pan out, how insurance scales in 2026 and provides the necessary offset for the cash pay business, especially in the U.S. That's a little bit of a longer view of how we are seeing the puts and takes in the BetterHelp business.
Operator: Our next question comes from the line of Charles Rhyee from TD Cowen.
Charles Rhyee: Chuck, maybe I want to ask Lisa's question, maybe a little bit in the reverse. Obviously, during COVID, the use of virtual care skyrocketed in part because that was the only options. We also recognized the great demand for behavioral health services as well and BetterHelp filled an important need during that period of time. Since then, we've seen the use of virtual care drop fairly dramatically. You mentioned -- obviously, you talked about sort of the opportunities of where virtual care can be used. I know it's another question. I think you talked about sort of penetration rates remain relatively low. I think, Chuck, you also talked about health care being very local and it's very individual for people as well. What are the big challenges that you see in -- I guess the question really is, what has been really the limiting factor then in getting sort of that penetration up? Is it really at the provider level and changing how they deliver care? And is that maybe more of a systemic thing in just how the workflows are designed? Or is it at the payer level where how benefits are designed and sort of set up? Or is it really just the consumer level of just people wanting to be in person with something? Just trying to understand that in terms of the innovation, and I guess the question really is more what's in your control versus what is it more that you have to wait for the market to come around to a certain extent?
Charles Divita: Yes. I appreciate the question. So a couple of things. I think you're going to see over time, continued recognition that there's not enough primary care in the United States. And I think virtual -- there's at least a more openness to virtual primary care. And I think that you'll see that continue on. I think the bigger part of your question, though, is -- and this is kind of how we're thinking about it. If you recall back when I joined, I started highlighting this, we have millions and millions of engagement points each year with the various visits that we do. Those were previously seen as visits, I see them as engagement points. So that's why we put this technology in place that allows us to start activating different strategies to create value for clients in that way. So maybe it's that same visit, but I can also address a care gap closure. Maybe I can also help that individual get -- navigate them to the next best action. Maybe I can resolve things more holistically than I do today with respect to bringing specialists to the table and provider-provider consult. So there are ways that we can make this engagement points more impactful, more valuable to clients. [Audio Gap] Then I think the virtual care system up until now has been set up to do. It's been very transactional in many ways. And I think trying to create a little bit more of a longitudinal opportunity is really where we're going to be able to drive more volume and more impact.
Operator: That will close our question-and-answer session for today. That concludes today's call. Thank you for your participation, and enjoy the rest of your day.